Operator: Good day, and thank you for standing by. Welcome to the Q3 2026 StepStone Group Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the You will then hear an automated message advising that your hand is raised. To withdraw your question, please press star 11 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Seth Weiss, Head of Investor Relations. Please go ahead.
Seth Weiss: Thank you. Joining me on today's call are Scott Hart, Chief Executive Officer, Jason Ment, President and Co-Chief Operating Officer, Mike McCabe, Head of Strategy, and David Park, Chief Financial Officer. During our prepared remarks, we will be referring to a presentation available on our Investor Relations website at shareholders.stepstonegroup.com. Before we begin, I'd like to remind everyone that this conference call, as well as the presentation, contains certain forward-looking statements regarding the company's expected operating financial performance for future periods. Forward-looking statements reflect management's current plans, estimates, and expectations, are inherently uncertain, and are subject to various risks, uncertainties, and assumptions. Actual results for future periods may differ materially from those expressed or implied by these forward-looking statements due to changes in circumstances or a number of risks or other factors that are described in the Risk Factors section of StepStone's periodic filings. These forward-looking statements are made only as of today, and except as required, we undertake no obligation to update or revise any of them. Today's presentation contains references to non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are included in our earnings release, our presentation, and our filings with the SEC. Turning to our financial results for 2026. Beginning with Slide three, we reported a GAAP net loss attributable to StepStone Group Incorporated of $123 million or $1.55 per share. As a reminder, GAAP accounting requires us to factor the change in fair value of the buy-in of the StepStone Private Wealth profit to interest through our income statement, which drove the negative GAAP earnings result this quarter. Moving to slide five, we generated fee-related earnings of $89 million, up 20% from the prior year quarter, and we generated an FRE margin of 37%. The quarter reflected retroactive fees from our infrastructure secondaries fund and our multi-strategy global venture capital fund. Retroactive fees contributed $1.1 million to revenues, which compares to retroactive fees of $9.7 million in the third quarter of the prior fiscal year. When excluding the impact of retroactive fees, core fee-related earnings were $88 million, up 35% relative to the prior year quarter, and core FRE margin remains at 37%. We earned $80 million in adjusted net income for the quarter, or $0.65 per share. This is up from $53 million or $0.44 per share in the third quarter of the last fiscal year, driven by higher fee-related earnings and higher performance-related earnings. I'll now hand the call over to Scott.
Scott Hart: Thank you, and good evening. As Seth just highlighted, we generated strong results to cap off a very successful calendar year in 2025. Beginning with our financial performance, we delivered our best quarter ever in core fee-related earnings. We are confident of our earnings trajectory as core FRE continues to grow and as an improving capital market environment may potentially yield stronger realizations in the coming year. While realizations as a percentage of our accrued carry are still below long-term trends, the last two quarters have seen a pickup in activity. When viewing performance fees inclusive of incentive fees, total performance fees were very strong, driven by over $200 million of gross incentive fees related to our 39% over the year. Notably, less than three percentage points of this performance came from the markup of secondary discounts, with the remaining 36 points of performance coming from returns post the initial markup. Shifting to fundraising, we generated growth AUM additions of over $8 billion in the quarter, and over $34 billion for the calendar year. Our best twelve-month period of fundraising ever. The fundraising is balanced across commercial structure, geography, and strategy. We believe our diversified mix bodes well for continued growth through market cycles. Our managed account fundraising has essentially matched our best twelve-month period with balance across re-ups, expansions, and new accounts. Re-ups have historically been our largest driver of managed account gross additions, but expansions and new accounts are critical for building the foundation for future re-ups. This past year has been our best year ever for the combination of expansions and new business. In private wealth, we grew the platform to $15 billion and generated over $2.2 billion in new subscriptions for the quarter. Our private equity evergreen funds continue to be standouts, originating nearly $1 billion of subscriptions across the combination of S Prime, our all-private markets model portfolio fund, and STEPEX, our PE fund. Also generated approximately $1 billion of subscriptions in Spring, our Venturi growth equity fund. As we've mentioned in prior calls, Spring is a one-of-a-kind product that is in high demand within the private wealth community. Momentum also continues to grow in Structs and Credex, where we continue to build our syndicated partners. The value proposition of income, yield, and diversification is resonating with our investors. We are comfortably generating more than $2 billion in private wealth subscriptions each quarter. With five fund families in market, and with an increasing effort internationally, we believe we have the balance, brand recognition, and track record to continue to grow off this base. Stepping back to the broader firm, we are thrilled with the success of the past year. As we look at our full pipeline of commingled funds, the setup for the coming year may be even more exciting. We are currently in market with our private equity co-investment fund, our private equity secondaries funds, and we just had an initial close on the second vintage of our infrastructure co-investment fund. We expect these funds to execute most of their fundraising over the coming calendar year as well as activate to fee-earning capital. Additionally, we are now in market with our venture capital secondaries fund, and we anticipate that we will be back in market with our special situation real estate secondaries fund and our multi-strategy growth equity fund in the coming quarters. Collectively, the prior vintages of these funds represent over $16 billion of capital, and we are targeting modest growth across each of the funds. Before I conclude, I want to highlight how StepStone is positioned for the continued evolution of artificial intelligence and the significant value creation we expect to drive for our clients and for our firm. As a leading investor in the innovation economy, we are backing category-defining companies across the AI ecosystem. From native AI platforms to the hardware companies building the compute and storage that power these tools, to software companies with proprietary data that enable differentiated high-value outputs. Furthermore, as a diversified private market solutions provider, we can invest across asset classes and capital structures, putting capital to work in essential components of the AI build-out like data centers and power generation, through our infrastructure, real estate, and private debt strategies. While we anticipate AI will be a huge creator of value, it will undoubtedly be disruptive, creating winners and losers, presenting risks and opportunities. We, like all managers, will not be immune to the risks, but given our highly diversified approach to private markets investing, our track record of partnering with top managers, and our data-driven insights, we expect to be well-positioned on both a relative and absolute basis. As we look forward to the coming year, we have built a solid foundation for private market solutions and will continue to offer and evolve our client-centric offerings. Our results this year are a function of executing this plan, and we believe StepStone is primed to accelerate on this momentum in 2026. I'll now turn the call over to Mike to speak through fundraising in more detail.
Mike McCabe: Thanks, Scott. Turning to slide eight. We generated over $34 billion of gross AUM additions over the last twelve months. We had a healthy mix across commercial structure, geography, and asset class, as well as a balance of new versus existing clients. More than $21 billion of these inflows came from separately managed accounts and over $13 billion came from our commingled funds, including private wealth. Looking by region, roughly two-thirds of our inflows were from outside of North America. Our international fundraising is particularly strong among institutions, where we continue to benefit from an extended runway as these LPs continue to grow their allocations to private markets. Of the managed account additions over the last year, approximately $10 billion or nearly 50% came from a combination of new accounts or the expansion of existing accounts into new asset classes or strategies. As Scott mentioned, this was our strongest twelve-month period ever for overall gross inflows, as well as our best period ever for new and expanded business. Our retention rate on managed accounts continues to be over 90% with re-ups growing on average by nearly 30%. So these expansions in new accounts fuel sustainable growth. During the quarter, we generated over $8 billion in gross additions, including more than $4 billion of managed account inflows, and more than $4 billion of commingled fund inflows. Notable commingled fund additions included a $300 million close for our private equity co-investment fund, a $100 million close for our infrastructure secondaries fund. We were thrilled to execute a greater than $600 million close on our infrastructure co-investment fund, which is now raising its second vintage. We anticipate our infrastructure co-investment fund and our private equity co-investment fund, which has raised approximately $900 million to date, will activate by the end of 2027. And we expect our flagship private equity secondaries fund and the first vintage of our GP-led private equity secondaries fund to have first closes in the coming two quarters with activation shortly thereafter. Turning to our Evergreen Fund platform, we generated over $2.2 billion of subscriptions in our private wealth suite of offerings, growing the platform to $15 billion as of the end of the quarter. Additionally, we have grown our evergreen non-traded BDC, S Credex, to nearly $2 billion in net assets. Slide nine shows our fee-earning AUM by structure and asset class. For the quarter, we increased fee-earning assets by nearly $6 billion, and we increased our undeployed fee-earning capital or UFEC by approximately $3 billion to nearly $33 billion. The combination of fee-earning assets plus UFEC grew to over $171 billion, which is up more than $8 billion sequentially and is up over $35 billion from a year ago. Our strongest one-year growth in our history. This translates to a healthy 20% annual organic growth rate since fiscal 2021. Slide 10 shows our evolution in fee revenues. We generated a blended management fee rate of 63 basis points over the last twelve months, down slightly from the 65 basis points in fiscal year 2025, driven by the moderation in retroactive fees, but partially offset by a favorable mix shift driven by growth in our evergreen funds. With that, I'll hand it over to David for our financial results.
David Park: Thanks, Mike. Turning to Slide 12. We earned fee revenues of $241 million, up 26% from the prior year quarter. Excluding retroactive fees, which were only $1 million this quarter, fee revenues grew by 32% year over year. This increase was driven by strong growth in fee-earning AUM across commercial structures, particularly private wealth, which carries a higher average fee rate. Fee-related earnings were $89 million, up 20% from a year ago, while core FRE was up 35% driven by strong growth in fee revenues. FRE margin was 37% for the quarter, both on a reported and core basis, up roughly a percentage point from last quarter. Shifting to expenses, adjusted cash-based compensation was $107 million, representing a cash compensation ratio of 44%, slightly lower as compared to the last two quarters. General and administrative expenses were $40 million, up $6 million from last quarter. The increase was primarily driven by our StepStone 360 conference held in October. G&A will remain seasonally high in our fiscal fourth quarter driven by a venture capital conference in February. Gross realized performance fees were $253 million for the quarter, comprising $47 million of realized carried interest and $207 million of incentive fees. Incentive fees are seasonally strong in our fiscal third quarter driven by the annual crystallization of our Spring incentive fees. These fees were particularly strong this year, driven by both exceptional growth and net asset value and performance in Spring. Total NAVs for Spring of $5.5 billion more than tripled over the course of the year, while performance of 39% was more than double the prior year. Spring's investment performance was particularly strong in the back half of the year, which further benefited this year's incentive fees, as those fees were calculated on a higher average asset base. Looking forward, if we assume Spring's investment performance achieves a mid-teens return, we would expect next year's incentive fees to moderate slightly as compared to this year, as growth in asset balances would be offset by more normalized investment returns. However, results will depend on actual performance. As a reminder, much of these incentive fees do not drop to the bottom line today, as the gross revenue is shared with the investment team through compensation, and with the private wealth team through the profits interest. However, shareholders should still see a meaningful benefit as about $25 million of this quarter's Spring incentive fees flows to pretax ANI. Consistent with past practice, we plan to pay out a supplemental dividend at the end of each fiscal year, subject to Board approval, based on performance-related revenues, net of compensation, non-controlling interest, and profits interest. Through the first three quarters of this fiscal year, the net PRE has already exceeded the total from all of fiscal year 2025. Furthermore, this year's strong level of performance bodes well for the longer-term earnings power of the franchise, particularly after the profit's interest is bought in, at which time over 50% of the Spring incentive fees will flow to pretax ANI. Adjusted net income per share of $0.65 was up from $0.44 a year ago and $0.54 last quarter, driven by growth across fee-related and performance-related earnings. Moving to key items on the balance sheet on Slide 13. Net accrued carry finished the quarter at $875 million, up 4% from last quarter. Our net accrued carry is relatively mature, with approximately 65% tied to programs that are older than five years, which means that these programs are ready to harvest. Our own investment portfolio ended the quarter at $338 million. This concludes our prepared remarks. I'll now turn it back over to the operator to open the line for any questions.
Operator: Certainly. To withdraw your question, please press 11 again. And our first question will be coming from Alex Blostein of Goldman Sachs. Your line is open, Alex.
Alex Blostein: So maybe starting with topic du jour. Scott, you mentioned software, obviously been important over the last couple of days. So maybe just frame the exposures you guys have to software companies across the portfolio and specifically just double-clicking into Spring and any other retail vehicles where you might have exposures, and that that might be a good place to start.
Scott Hart: Yeah. Thanks, Alex, for the question. A couple of things. And I think you've obviously heard from others on this topic throughout the last several days as well, you know, highlighting the fact that, you know, not all software companies are traded equally, highlighting the fact that, you know, where there are risks, there are also opportunities. I think we, you know, would agree with all of that. I think the point I really wanted to spend some time on here in response to your question is really just building upon what I mentioned in the prepared remarks around our diversified approach to private markets investing. And really two key points I would highlight. One, one of the things you hear us talk about here at StepStone frequently is that as investors there's a lot that's outside of our control. There's a lot of uncertainty. You know, the one thing that is always completely within our control is portfolio construction and diversification. So we really look to that, you know, as something that's really the first line of defense when we encounter disruptions, like this one. Second, you know, just wanted to highlight the fact that our multi-manager, multi-asset class approach is by definition very well diversified. So if I just think, for example, about the value chain within the private markets from individual company or asset, to general partner or fund that's investing those assets through to the allocators or private or solutions players like ourselves, give just a couple of comments. I mean, one, if you're an individual SaaS company, you know, today that maybe lacks some of the characteristics that we're all looking for, whether it's, you know, vertical specialization, system of rec proprietary data streams, you know, a strong AI strategy in place. That's probably an uncomfortable place to be at the moment. But like we said, not all software companies are created equal. If you're a software-focused GP, well, at least in this case, you don't have all of your eggs in one basket. You probably have some challenges in the portfolio, but at the same time, probably have some potential winners. And there's no doubt you're working very closely with your portfolio companies in a very active way to develop your AI strategy and AI product roadmap. You know, generalist GP, similar situation, although now you're talking about only a percentage of your portfolio invested in software. But with that, by the time you get to, you know, a group like StepStone, again, multi-manager, multi-asset class approach, we're just very well diversified. Right? Obviously, our real estate and infrastructure businesses have no software exposure. And if anything, AI has presented a bit of an opportunity and a tailwind for certain investments. Our private credit business, where we tend to focus on small and mid-market loans, which has been less heavily invested in software, and where we tend to shy away from ARR loans, has resulted in a situation where we've got very modest exposure to software. So for example, on a couple of the evergreen funds, think sort of mid to high single-digit software exposure in private credit. And so it really leaves us with within private equity and venture as the main driver of our software exposure. And as a result, if you look across the entire business, we estimate about 11% of our total AUM that is in software investments. And if we exclude, you know, venture, that drops down to about 7% of our total AUM. So let's then just, you know, spend another minute on venture because as you said, you know, certainly topic of the day, but this is not a new trend in terms of the potential threat to software companies from AI. And I think our venture team has been operating accordingly over really the last several years here. And so if you look at a fund like Spring, you know, have probably leaned more heavily into, you know, some pure play AI opportunities, AI infrastructure, specialized vertical software players, cybersecurity, defense tech, and physical AI, all of which have had, you know, the benefit of an AI tailwind. And frankly, that's what has driven the 39% performance that we mentioned in the prepared remarks in a year where you saw, you know, public software indices down, you know, close to 30% in some cases. So I think, you know, sort of highlights the fact that just because we are investing in venture and technology more broadly, it does not mean you're making, you know, a bet on software in particular. So maybe with that, I'll stop. I hope that gives you a bit of a sense, one, for the exposure across the business, but also the way that we think about this type of disruption risk.
Alex Blostein: Yeah. I know. It's really helpful context. And, again, I agree with everything you were saying. And, you know, thanks for the color there. My second question, just pivoting to growth. Obviously, really impressive trends in the private wealth business. I think I heard you guys talk about $2 billion in subscriptions each quarter. Awesome momentum, and it sounds like you're seeing line of sight to build on that. So I was hoping you could maybe expand on how you're thinking about the build from here in terms of scaling the existing products? Any kind of near-term opportunities you see to expand distribution, and any other new products you're thinking about launching over the next call of twelve months?
Jason Ment: Thanks, Alex. Jason here. In terms of expanded distribution, we're still in the very early innings from a syndicate build on STEPEX. Of course, that's the newest private equity fund. And still also in very early innings with Credex and Structs. Lots of positive momentum there, but through the syndicate build, we'll see flows on those funds increase over time and would expect to see growth in distribution of those funds over the course of the coming year. No announced roadmap for new product offerings in the coming twelve months. Other than, I would say, you know, feeder funds, different geographies, specialized funds, and the like all feeding into the same portfolio. But not a new product per se as we continue to expand the international footprint and expand the fund families in that way.
Alex Blostein: Thank you, guys.
Operator: Will come from Kenneth Worthington of JPMorgan. Your line is open, Kenneth.
Kenneth Worthington: Let's start on Spring. So Spring had monster performance this year. Maybe first, given the size and the performance, how are you managing the inflows? Are you in a position where you feel like you need to kind of protect the existing investors by in any way sort of limiting the amount of net new assets that are coming in there and maybe chasing that good performance? Or is that not an issue?
Scott Hart: It hasn't been an issue to date, Ken. The amount of opportunities that our venture and growth team continues to see across the innovation economy is strong. And that's driven by us having the market-leading venture and growth platform. And having multiple avenues for deployment across primary fund investments, co-investments and directs, as well as secondaries, which in venture specifically leans heavily into direct secondaries. The team is very proactive in identifying those companies that we want exposure to in our portfolios, and sourcing that exposure through all those different avenues so that we can take advantage of the power law in venture. To date, we continue to see a lot of opportunities as companies stay private for longer, if not some forever. And that provides us an avenue for strong deployment.
Kenneth Worthington: Okay. I feel like you were prepared for that question. Thank you.
Operator: Okay.
Kenneth Worthington: You mentioned a number of funds in market or coming into market in the coming quarters. I think $16 billion of AUM is what you said the prior vintages were at in terms of commitments. Yet you sort of expect maybe these next vintages to have modest growth. And I guess the question is, why expectations are tempered a bit? And so from there, you mentioned that 50% of sales are coming from sort of new clients and expansion clients. You think that can kind of continue as you raise this next round of funds? And it would seem like if it can or can come anywhere close, that unless you're really trying to throttle the size of these funds, that there might be the opportunity to do better than just modest growth as these new funds come to market. Help me sort of connect the dots in terms of how you're thinking about the next vintages and coming to market?
Scott Hart: Yeah. So I think a few comments there, Ken. And I think the expectation around modest growth in fund size is one that we have often pointed to throughout our history. And I think particularly on the back of, in some cases, having significantly increased prior fund sizes, you know, doubling of the last secondary's fund, a significant increase in the last real estate secondary spot. I think we wanted to just make sure to set expectations that the goal with certain of these vehicles is not necessarily to go out and double in fund size, but to grow and make sure that we are a little bit to the question you just asked Jason, we're matching the fundraising to the opportunity. Now we do think there is a sizable opportunity, particularly given sort of the strategies we will be in market with, including secondaries across multiple asset classes here, but again, want to just moderate expectations there. Look. I think overall, we feel good about the line of funds that we have coming to market. You asked about the mix of re-ups and new, etcetera. Look. We do expect to have strong re-up activity given the performance of these vehicles historically, but also trying to create a bit of room for either net new clients to the platform, many of which find our commingled funds to be an attractive entry point and set, you know, some investors that have looked at these vehicles last time around, but missed out as we wrapped up, you know, at or close to hard caps. But also, you know, open to clients that are expanding, you know, across the areas within StepStone. I think we're gonna see growth from each of those areas. But also recognize, look, while the fundraising has been strong and like we said, we've had a record last twelve months, it continues to be a competitive fundraising environment, and we'll have a lot on plate in the year ahead here.
Kenneth Worthington: Great. Thank you very much.
Operator: And our next question will be coming from Brennan Hawken of BMO. Your line is open, Brennan.
Brennan Hawken: Thanks for taking my question. Love to drill into the discussion performance at Spring. It's pretty remarkable that only three percentage points of it are coming from the markup. So and that definitely doesn't, like, it's not totally intuitive how that would be the case given how well it's flowed and my sense of the discounts on those VC funds. So could you maybe help me understand that a little bit better? How we could see such a small portion of the attribution from that?
Scott Hart: Yeah. So it's really, I think, a continuation, Brennan, of the comment that Jason made when talking about the opportunity and the fact that in venture in particular, it's really more of a direct secondaries opportunity as opposed to a pure LP secondary at significant discount. I think even if you were to look at some of the market statistics about the size of the secondaries market overall and look at what supposedly coming from venture, I mean, I think it vastly understates the size of the venture secondaries market because it does focus less on the direct secondaries and more on just the LP. So that's gonna be the biggest driver of the performance not being driven purely by discounts.
Brennan Hawken: Got it. So I'm guessing that that's just another way of saying the continuation vehicles. Assuming that I'm on the right track there, like, what does the volume breakdown been in the continuation vehicles versus LP led for Spring here in the past year?
Scott Hart: Yeah. So in this case, not even just referring to GP led, although it may take the form of GP led, but may also be direct secondaries buying out, you know, interest in individual portfolio companies whether from prior owners, management teams, etcetera. But I think it really just speaks to Jason's point earlier that we have a sense for which companies are gonna be the major value drivers in the venture space. And then we go out and use our full toolbox of ways to acquire those interests again, whether through direct secondaries, whether through GP leds, which can take a variety of different forms, as well as LP leds. I don't have an exact breakdown. Maybe Jason can jump in here.
Jason Ment: But yeah. I would add to 34% of Spring this is in the card. You can see it right there. The 34% of Spring are primary directs, meaning not secondary at all, but going in on a direct basis. So think akin to co-invest alongside our venture partners. Right? And then 64% of the portfolio is coming through secondaries. The vast majority of which is direct secondaries. So not really CVs, although some could be CVs. Really acquiring interest directly the interest of the underlying companies.
Brennan Hawken: That's interesting. I did not appreciate all the different options you had. Great. Thanks for taking my questions.
Operator: And our next question will be coming from Michael Cyprys of Morgan Stanley. Your line is open, Michael.
Michael Cyprys: Maybe just coming back to your helpful commentary on software exposure and AI disruption risk. Just curious, as a large allocator to the private market space, sounds like AI disruption risk, and it's been something you've been focused on, but there's a risk but also an opportunity that you've been thinking about for some time. So as you look at managers and funds across the space, curious what you're seeing in terms of assessing and sizing the potential risks for the industry. Maybe talk a little bit more about your portfolio construction, how you've been navigating this. And curious what insights you've gleaned from the datasets that you have.
Scott Hart: Yeah. So maybe a few different comments there. I mean, if I look back at some of the transaction activity from, say, the 2020 to 2025 time period, and it's gonna be private equity specific. So not venture, but private equity specific. You know, our data would suggest that something like 27% of all private equity investments were in IT broadly speaking, just over 20%. More specifically in software. So just to give you a sense over the last five years, which would generally be vintage years that are less realized at this point in time. Interesting. If you break that down by size, and one of the reasons I made the comment about our small market and mid-market exposure in our credit business. If you look at small and mid-market, the software exposure, you know, based on our database, more like 13% over those last five years, whereas the large and global part of the market closer to 24%. So that's maybe just some helpful context around, you know, market-wide, what we're seeing, how active the GPs have been in these software space broadly speaking. I think some of that driven by where, you know, where you have your true sort of software specialist versus just generalists that are operating. Look, it's been a diligence question that we've been asking both our GPs, but also we've been focused on through our co-investment in secondary business over a number of years. Frankly, not just in but across the board in terms of understanding where are their AI-driven opportunities and where are their AI disruption risks. And, obviously, it's a continually moving picture here. But that is something that we and I think many others have probably been focused on for a period of several years here. And I think we learn a lot from speaking with our GPs, understanding a few things. One, what they are doing internally in terms of how they operate within their own four walls to, you know, what are they doing with their portfolio companies. And that's part of the reason I made the comment earlier about some of the software GPs that are very actively involved and have sort of a playbook they've developed and task force that are working very closely with their companies to develop their AI strategy and product roadmap. And so those are some of the things that we are seeing and looking for in our business today.
Michael Cyprys: And then to the point just to the learnings, the data, the insights, I guess when you speak with the GPs and you're underwriting, doing diligence, I guess, what sort of steps can the GPs take to minimize this sort of risk? Not all software created the same clearly to your point. When you think through how much of that exposure could be at risk from AI as you're constructing your portfolios and trying to mitigate it yourselves there. Just any thoughts around that?
Scott Hart: Yeah. Look. I think some of it probably comes down to how they have managed their existing recognizing that some of these portfolios would have been built starting pre-COVID and the years post-COVID and who's been more active in managing the risk and strategy with their portfolio companies and or who's been more active in looking to divest some of those companies over the last few years and really look to hold those that are best positioned to continue to grow in the current time period. And then I think it comes down to investment selection going forward. What are some of the key things that they are looking for in diligence to make sure that they are avoiding those companies that are likely to be disrupted on a go-forward basis. I mean, those are the kind of two broad categories I'd point to is managing the existing portfolio, and then it's really about new investment selection.
Michael Cyprys: Great. Thank you.
Operator: Our next question will come from John Dunn of Evercore ISI. Your line is open.
John Dunn: Thank you. Maybe a little more on the sourcing of subscriptions. You said two-thirds of fundraising was non-US. I think in the past, you've given us a kind of flavor of what regions are seeing the most demand and for what particular strategies.
Scott Hart: Yeah. John, thanks for the question. So it depends on the exact time period we look at. If I look at the last quarter, it has probably been Asia and Europe, and broadly across whether Singapore, Japan, Korea, and then within Europe, Germany, and some of the Nordics that have been some of the bigger drivers. If I look over the last twelve-month period, I would also include those same geographies. I would also include The Middle East as well. Look. It varies a bit by asset class. I would say, of late, our infrastructure business has had tremendous success in the European market. Private credit has been having great success and interest in Asia and The Middle East and has had some recent wins in The US market. I think, interestingly, as we travel around with the private credit team, despite some of the headlines that we see related to private debt, private wealth redemptions, or otherwise, that is not a major topic of conversation when we're sitting with institutions, some of which are just setting aside allocations for private credit and continue to be very interested and active in the space. Then if I think about private equity, look, I'd say the regions that we probably had the most momentum of late, probably Asia, and The Middle East. So, hopefully, that provides a little bit of color for you.
John Dunn: Yeah. It does. And then on private credit, in the wealth channel, maybe outside of software, has there been any changes in discussions or interest or concerns about other exposures?
Scott Hart: Well, look. I mean, there's obviously the headlines that we need to contend with. I guess, in our case, we are, obviously, as Jason mentioned earlier, a bit earlier in building out the syndicate for funds like Credex, and so we have not seen maybe the pickup in redemptions that have been talked about across the industry. But, you know, clearly, you need to contend with some of those headlines as it relates to new fundraising that you're doing. But look, I think part of what also has driven some of the interest in our private credit strategies of late is again, our multi-manager approach and just the highly diversified portfolios we are building as a result with getting private credit, your largest position tends to be sub 1% positions across our evergreen vehicles.
John Dunn: Thanks very much.
Scott Hart: Well, I don't know if we lost the operator there or any additional Q&A. I'll just give it one more moment here. Okay. Well, if no other questions, we appreciate everyone's interest this quarter and look forward to connecting with you and continuing the dialogue about StepStone. Thank you for participating. You may now disconnect.